Unidentified Analyst: Hi, everyone. Today we have Geoff King, Chief Financial Officer of ABraxas Petroleum. Geoff?
Geoffrey R. King: Thanks, Chris and it’s good to be here at IPAA to tell you a little bit about the Abraxas story and give you an update on where we are. Of course we will be making forward-looking statements. So I encourage you to read this in your own time. Moving on an overview of Abraxas, trade on the NASDAQ in the symbol AXAS; headquartered in San Antonio. 105 employees; 93.3 million shares outstanding, translates to a PV-10 of about $235 million; substantially reduced our bank debt, that's down to about $92 million. We are trading relatively close to our PV-10. On an EV-per-BOE basis, as you can see along the same lines, trade cheaply at about $13.66 per barrel. On our proved reserves, about 25 million barrels, that's 65% oil and liquids weighted and 55% proved developed. Our production, 4,100 barrels a day. As of the years we go through this presentation, we've shown a significant ramp since bringing on some wells. Our August production was about 5,000 barrels a day, so we are really starting to ramp up the production. Translates to a reserve life of about 16.5 years, which obviously argues for a pretty substantial financial multiple given the visibility of our cash flows and 2013 CapEx, we originally raised the $85 million, that's up from $70 million. A couple of things that we think make Abraxas a bit of unique story. We have exposure to the core, the core of lot of U.S. oil resource plays that's primarily the Bakken, the Eagle Ford, Permian and Powder River Basin. I think some recent transactions that you’ve probably seen that have been in and around our acreage argue for that statement right there. Significant low cost exposure to a lot of emerging resource plays here in the U.S. A lot of that is held by production, legacy areas that [introducing to open up] especially in the Permian basin. We [believe] we represent both value and growth, have a low decline legacy production base, really just starting to get up on that manufacturing model, which obviously has a higher decline, but leads to more visible growth that to the benefit of shareholders. We’re proven operator, deep technological and G&G staff. I think you can see that in our well performance as well as well cost that we’ll get into later in the presentation and something else that makes us unique is a small company. We have our company-owned rig up in the Bakken where we are pad drilling. So it makes us a very efficient low cost operator. Our oil weighted, 65% crude oil and liquid weighted by reserves and pretty close to that on production. We’ve got a 100% of our capital headed there over the next year and into the future or foreseeable future. And an experienced leadership, about 32 years average experience. Obviously if you are [hindsight is] telling you right now we are bringing that down a bit, so be a little bit higher. Here are the mandatory pie charts for you, proved reserves about 25 million barrels. You can see the biggest wedges there, Permian Basin, that's a legacy area for us, Eagle Ford and Rockies, which is primarily made up of the Bakken there, make up the biggest wedges. You can expect those to continue to grow as we head forward. Production, very similar look as far as the pie chart goes, again expect the Eagle Ford and Rockies to continue to grow. Reserve Mix tend to be little more oil weighted, given our capital focus this year, you can expect that oil wedge to grow. And finally revenue by production stream given the differential between oil and natural gas right now and not surprisingly the majority of our revenue is coming from oil sales. That's the chart that been getting a lot of attention now. Similar to a lot of companies in 2008, we are a company that was heavily weighted towards gas, have been actively putting a lot of capital towards growing our oil production. As you can see, we’ve shown very substantial liquids growth in first quarter of 2011 to second quarter of 2013. I’ve been promising people for a while absolute production growth, we are finally starting to see that come up. That really is a reflection of the fact that we brought on our first four well pad in the Bakken recently in late July. You can see that that was about 5,000 barrels a day, granted about one month of production and not a quarterly average, but still substantial ramp and something you should continue to expect from here. This is our asset base, you can see the bolder colors there are our core areas. I should mention that within our core areas, which we identify as the Bakken, PRB, Permian and Eagle Ford, there are non-core assets. We deem anything non-core that has a low working interest and/or is non-operated. We want to focus on high working interest operated assets. The lighter colored areas that you see on there are deemed non-core. We've gone on a fairly aggressive divestiture campaign, which has been quite successful over the past year. You can expect those to continue to be monetized in the proceeds; accelerating growth in our core regions, primarily the Eagle Ford and Bakken as well as growing acreage positions. Strategic plans; I came on Board actually in September of last year and we put this plan in place. The business plan was to focus the company, de-lever and grow. As far as focusing goes, we have a bunch of acreage in a bunch of different areas. We are going to focus the portfolio on our four identified core basins, which we identified as the Bakken, Eagle Ford, PRB and Permian, anything else is subject to divestiture. We’re going to use the proceeds from those asset sales to de-lever, bring down the balance in the balance sheet and how we’re going to measure that while getting at the two times debt-to-EBITDA by year-end 2013. I think we’re well on our way to achieving that and probably exceeding it. As far as growth goes, capital was 100% oil liquids focused, instead of spending money in places like Canada, we’re going to spend it in our core areas which is the Bakken and Eagle Ford which as you’ll see, here is our report card here on how we’ve done. As far as focus goes, you can see where we’re focused, in early 2012 what we’ve done; divested $71.3 million of assets in the last 12 months, that is pretty substantial for a $300 million enterprise value company. And 94% of our budget is focused on the core Eagle Ford and Williston Basin properties. You can see there a list of what we have divested. The most recent was the Bakken non-op sale, which was a good asset but for a small cap company very difficult to manage, [AFP] is coming through the door at random times. Oklahoma and Louisiana, those are pretty high LOE non-core properties for us. Alberta Basin and Bakken, something we’re just glad to get out of and Nordheim is an example, with 25% working interest, especially operated property in the Eagle Ford, that's about well over 500 net acres, so a very substantial price that we got for that asset. And as far as de-leveraging goes you can see in early 2012 [inaudible] as far as debt covenants go, 3.9 times debt-to-EBITDA, down to very limited liquidity restricting our growth profile. What we’ve done, we took all those divestiture proceeds, reduced the borrowings with our asset sales and where we stand now very much on track to achieve our targeted two times debt-to-EBITDA by year-end 2013. So it's $51 million of liquidity there, as of August 31st, we just had our borrowing base revised up to $147 million from $143 million. So we have another $4 million on top of that. As far as growth goes, as I mentioned before, we’re over 5,000 barrels a day in August. That continues to show a pretty good growth profile, pretty visible from here as we bring on some incremental pads in the Bakken. We also have accelerated growth we were ahead about $70 million on CapEx budget in 2013. Recently raised that to $85 million to pick up some low hanging fruit and drilled a couple wells in the Eagle Ford. Speaking too and talking about as far as the budget changes, they've gone from $70 million to $85 million. You will note there the Bakken CapEx is coming down, that’s more of a function and two things, one the sales of non-op assets took away $10 million of that. We also due to fears over some road closures moved -- actually walked our rig to another pad and to accelerate drilled there, that has a lower working interest in the wells we originally planned on drilling, that -- we brought that down. Eagle Ford went up substantially, that to drill two 100% working interest wells that I’ll show you in a bit and the Permian Basin to drill one 100% working interest well that I will show here. Staying to the more exciting stuff, this is our asset overview. Here we are in the Bakken/Three Forks. The core area we are operating right now is the North Fork area. You can see Lillibridge just to the north of that where the rig just finished up drilling and casing, our second four well pad. After that, Fairview/Harding which sits right on the Richland County, McKenzie border will be where we’re heading after fully developing North Fork. Here is that North Fork-Lillibridge area. As you can see that area that’s labelled Pershing in the upper right hand corner, just completed that four-well pad, brought on all four wells at or near a 1,000 barrels a day on 30-day IP rates, all were heavily choked back due to some mid-stream capacity issues. That well continued to perform quite well. I am very enthused by what we brought on there. Shifted a little or actually walked the rig from that pad over to what we refer to as Lillibridge West. Just TDed and cased the fourth well on our Lillibridge West pad. Got that on a month ahead of schedule. So finally we are starting to see some real efficiencies work through our drilling rig program. That rig is now going to be mobilizing down to our Jore pad. We have 76% working interest there. That compares to about a 34% working interest at Lillibridge. So a little more impact from the wells that are going to be coming on here, probably early 2014 at Jore. You can see 21 wells left to drill at North Fork and then one remaining at Lillibridge which is a lease line well. Here you can see the rates and the performance of the wells, obviously shown substantial improvements in rates on the last Lillibridge pad and well cost continues to come down meaningfully. I think you can expect from the Lillibridge 5H to 8H and we have gone a month ahead of what we’re originally planning and in fact stimulation cost doesn’t move at all that much that we should see a substantial improvement in well cost. So excited about what our operational teams are accomplishing out there. These are type curves to give you confidence with what we have these wells booked at, that’s the dash line by D&M, obviously significantly exceeding that. That should get some decent performance revisions. It's just worth noting on there the rig in 2H well is a well we had some serious mechanical issues. It was only about half way completed and that continues to perform roughly in-line with that type curve. So just to give you confidence in our reserve booking. Here are our Eagle Ford areas and that's [Abraxas'] company mandatory that we do have Eagle Ford assets. Operate in three areas; Jourdanton area, which is up in Atascosa County; WyCross, which thanks to our substantial transaction growth a few weeks ago taking off our working interest partner in the [core] oil window of McMullen County and then the Cave Area, which is 410 acres and kind of represents the future of what we are trying to accomplish in the Eagle Ford at Abraxas. Here is the WyCross area. We have 25% of this. Our partner has 75%. About two weeks ago, another independent came and took them out for $220 million. So substantial implied value for our assets. Has about 13 wells producing, one well waiting on completion. You can see the little numbers that are next to those wells they represent the cumulative 30-day rates. So you can see how our wells are performing versus other wells in the area and this really is a very good asset and what I mean by saying we have assets in the core -- the core of all these plays. 59 locations remaining on 80's. On the upper right hand corner of this map is the Camaro B 3H and 4H where we tested 40-acre spacing. Those are wells where 300-feet apart. We didn’t see any communication during the fracking process and as you can see here on the right there they showed rates in excess of our type curve at 700 barrels and 800 barrels a day respectively. Obviously with the benefits of pad drilling those well costs came down substantially. At the Camaro A1H an area that you probably should keep an eye on heading into the end of the year as we may get a little more active and try to drive a little more PDP growth. Here is the performance of our wells, those type curve have similar story to the Bakken, continues to significantly exceed it, hopefully can start D&M and move in the stuff a little bit, but as you can see there, very pleased with the performance of the wells and those wells for performance revisions in the year end. This is one of the most exciting areas for Abraxas. All these assets in the Eagle Fords we are helping the JV leases and drilled one well, the Grass Farms 1H back in 2011. The well was drilled about a 2D seismic line, [that is] now in Eagle Ford window and Atascosa County I should mention. Going back you can see in the bottom left hand corner the performance of the well, came on a 100 barrels a day, declined down to 50, so a flat decline, but obviously not an economic proposition off of that. Walked away from it went and shot 3D, there is a lot of Austin Chalk in Buda potential, an activity and success in the area. So went and shot 3D over this and got the 3D back, realized that when we drilled that well we cross-fixed a few faults and only had that Grass Farm’s 1H our 10% to20% in our targeted Eagle Ford zone. So that kind of changed our opinion along with some of the activities. The Cinco down there that just been having some success in the area and try to come back drill this Abraxas Blue Eyes 1H, 100% working interest well for us in Atascosa County. It is up in the Eagle Ford. It will be a cheaper well. Won't have the flashier IP rate something like WyCross, but the economics could be just as good if we are successful. If it works, 50 well potential, if you assume $6 million a well, which is around the aggressive side is that what we are putting down at WyCross and that's a $300 million dollars future investment for Abraxas. Very substantial and keep an eye on this. We just spudded the well about a 1,000 feet right now. Eagle Ford and the Cave areas, this is 410 net acres and a lot of people out there, I know it's the popular mode to go and put up massive acreage positions in a lot of plays that Abraxas is a bit of a contrarian approach. And what we've seen throughout this area is lot of the larger independents that have come in and kind of carpet bomb the area with leasing activity and they are individual units that are coming up. So Abraxas brings to the table for the lease owners and in fact will come on and fully develop your lease and really drive revenue to you via re-royalty payments. So this is kind of future Abraxas. Seeing a lot of opportunities in the Eagle Ford similar to this, so just keep an eye on our activity there and our success on adding individual units like this. Just in general, I mean the capital intensity of these resource plays, again this is four well that we fully expect to develop in next ten months, a 100% working interest and it will be about $40 million net investment for Abraxas. So substantial amount of money but it's part of our goal of kind of tying in returns and cash flow to associate with leasehold. Our Permian Basin Spires Ranch is an area if you have been following Abraxas for a while we’ve been active and drilled four wells out here. All of those in whole completions, had pretty moderate success at best, but what we’ve done here is go back and take a look at what we did in plays like the Edwards and what some of our peers are doing in the Mississippian and the Analogous Rock, actually putting a stimulation on the wells. You saw that in the Edwards when we did it, doubled our production, doubled our PDP reserves, are pretty excited about what that could mean for Spires. So we went and drilled this 129 2H, ran a liner, completed the well, and have just started flow back. There remains to be seen if it works. If it does work, we have four wells that we can go back, run liners and stimulate. After that, we have seven additional locations. So limited upside, but a very inexpensive development option for Abraxas if it works. Now the company here has been around for 30 years, so we obviously have a ton of acreage in different areas. This is just three other areas, I didn't have time to get into, but if you go through our appendix, we have lot more detail on. Powder River Basin is definitely the most exciting of these. You have probably seen some of the activity by our peers and some of the returns on those wells, which make the Eagle Ford and even Bakken look silly but Hedgehog State 2H is a well we drilled about over a little over a year and half ago; continues to exhibit a very flat decline. Couldn’t be very happy with what we’re seeing with that well and doubled our PDP reserves on it last year when we had booked that. Continue to moderate the area. It’s a good area to pick up some pretty cheap leaseholds. We feel like, we have a cheap or a good geologic edge in the play and continue to keep an eye on that. Permian Basin that’s where we got started, have a lot of scattered acreage throughout the play. It continues to be an area where we work certain regions and kind of high grade our portfolio, really an area for A&D. Canada, as you saw on the first page on our map, is a non-core area for us. About a 100 barrels a day of production out there. 43,000 net acres exposed in emerging Duvernay Shale out on the Eastern Shelf. Has homerun potential but an area where it's our goal not to spend any more capital, so stay tuned up there for any events. I apologize for this slide and this was put together by our Chief Geologist who is a diehard aggie and unfortunately went to Davidson College which is the 1A non-scholarship and including the likes of [more head state] in George Town right now. So generally I have the same effect, putting our quarter back on. But this is what we hope to bring to you and expect the next few months or next 12 months. Obviously I have an experienced proven team up in the Bakken and Eagle Ford. You can see that through our well cost and well performance. It's more of a -- very different model, the most companies, it’s more just-in-time inventory. So we’ll continue to pick up individual units, fully develop them and turn them into cash flow. Rate of return-driven growth, now as a young arrogant hedge fund guy, and I went to [Nick Morale] and was complaining the lack of growth of this company, he said production growth is an objective, but the outcome of making sound financial decisions and that’s something that really rings through now at Abraxas and so just keep that in mind. And fourth, improved financial discipline and focus. I think we proved that to you over the last 12 months and will continue to be the case, and we’ll continue to now manage the balance sheet properly and continue our focus on our core basin. So with that, I’ll turn it back and time for the break out.
Unidentified Analyst : The breakout will be in the [Posedio] Room, right outside the door.